Operator: Good day and thank you for standing by. Welcome to the NCS Multistage Third Quarter 2022 Earnings Conference Call. [Operator Instructions] Please be advised that today’s conference is being recorded. I would now like to hand the conference over to your speaker today, Ryan Hummer, Chief Financial Officer. Please go ahead.
Ryan Hummer: Thank you Hope and thank you for joining the NCS Multistage third quarter 2022 conference call. I will lead the call today and Robert Nipper, our Founder and retiring CEO will also provide comments. We are also joined for the first time by Mike Morrison, who will soon take over for me as CFO. I want to remind listeners that some of today’s comments include forward-looking statements such as comments regarding our future expectations for financial results and business operations. These statements, including our financial guidance, are subject to many risks and uncertainties that could cause our actual results to differ materially from any expectation expressed herein, including the impacts of the COVID-19 pandemic, inflation, central bank actions to combat inflation and Russia’s ongoing invasion of Ukraine on the global economy, oil demand and our company. Please refer to our most recent annual report on Form 10-K and our latest SEC filings for risk factors and cautions regarding forward-looking statements. Our comments today also include non-GAAP financial measures, including adjusted EBITDA, free cash flow and net working capital. The underlying details and reconciliations of non-GAAP to the most comparable GAAP financial measures are included in our third quarter earnings release, which can be found on our website, ncsmultistage.com. With that said, I’d like to welcome our investors, analysts, employees and other attendees to our third quarter 2022 earnings conference call. We significantly exceeded the consolidated revenue guidance for the third quarter of 2022 that we provided in early August, enabling us to generate over $8 million in adjusted EBITDA during the quarter. I will start by briefly discussing our results and outlook for each of Canada, the U.S. and our international markets. Starting with Canada, our Canadian revenue of nearly $35 million in the third quarter exceeded the high end of our guidance range of $23 million to $24.5 million. These results reflect several factors, including favorable weather conditions during the quarter, which allowed for higher customer activity levels than we had anticipated. In addition, we added new customers for our fracturing systems product line, which contributed to incremental sales. This is the result of our highly focused efforts by our sales team, leveraging our strong performance in the field where we drive operating efficiencies for our customers. As an example, we recently participated in a unique simul-frac project in Canada on a multi-well pad, with 2 wells being simultaneously fractured utilizing NCS sliding sleeves and Shift-Frac-Close operations from a single frac spread. Through that process, we help to enable greater operational efficiencies for our customer and look to repeat that in the future. Our Canadian team continues to execute on opportunities to drive market share in other product lines as well. For instance, we set an ambitious goal to triple the number of liner hangers that we install for our customers in 2022 as compared to the prior year, and we are on track to achieve this goal. Our growth in this technically demanding operation demonstrates the quality of our people and technology and provides us with additional opportunities to supply a full wellbore of NCS products to our customers, including toe sleeves and float equipment, centralizers, sliding sleeves and the liner hanger. We are also continuing to add to the Canadian customer base for our PurpleSeal frac plugs and are delivering tangible value to our customers through the insights provided through our NCS tracer diagnostics service. Activity in Canada has remained robust early in the fourth quarter, so we believe that the favorable operating conditions experienced over the last several months have accelerated the timing of customer activity, which is currently expected to lead to budget exhaustion for certain customers and lower activity as we head into the last 2 months of the year. Turning to the U.S., our revenue of $11.5 million for the third quarter fell just below our guidance of $12 million to $13.5 million. Further sequential improvements in fracturing systems, tracer diagnostics and frac plug sales were offset by declines in well construction volumes and also lower volumes of perforating gun sales at Repeat Precision. We are especially pleased with the performance of the tracer diagnostics business for the quarter as we participated in many high-intensity projects for our customers, helping them to advance their understanding of completion performance and also well-to-well interaction. The knowledge gained from these tracer diagnostics projects helps our customers to further optimize their completion strategies and to adjust field development planning to maximize hydrocarbon recovery and to optimize the financial returns on their assets. Our U.S. tracer diagnostics revenue is 46% higher through the first 9 months of 2022 as compared to the first 9 months of 2021, with high activity continuing into the fourth quarter as our tracer field service crews are operating at nearly maximum capacity. At Repeat Precision, we intentionally reduced our perforated gun sales activity starting in the second half of the third quarter as we implemented upgrades to components within the system. We believe that these upgrades will further enhance the operating performance of our PurpleFire modular perforating gun system, and the benefit of these upgrades has recently been demonstrated in the field. During the quarter, we also had successful trials of our PurpleFire system with several additional wireline customers, which we anticipate will diversify our customer base for this new product line, setting the stage for further growth. Our international activity improved again sequentially in the third quarter with revenue of $2.6 million, which was slightly below our expectations of $3 million to $4 million. The sequential revenue improvement during the quarter was led by an increase in tracer diagnostics activity, primarily in Argentina, where we completed several projects. Service activity in the North Sea continues to be steady, and we have received additional sleeve orders from our second North Sea customer, which we expect to deliver during the fourth quarter. On a consolidated basis, we began to benefit more fully in the third quarter from pricing increases that we implemented earlier this year. Our gross margin percentage for the third quarter of 2022 was 42%, the highest of any quarter this year. We continue to be impacted by rising costs across our supply chain, especially for the tubulars that we utilize to build our fracturing systems and well construction products, so the pace of the cost increases is beginning to moderate. To offset these cost increases, we expect to initiate further pricing increases to recover our costs and to improve our gross margins, ensuring that we are adequately compensated for the value that we bring to our customers. I’ll now discuss certain financial results in more detail. As reported in yesterday’s earnings release, our third quarter revenues were $48.9 million, 51% higher than the prior year’s third quarter, with increases of 57%, 43% and 14% in Canada, the U.S. and international markets, respectively. On a sequential basis, our revenue in the third quarter was 78% higher than our revenue in the second quarter of 2022, with an increase of 171% in Canada due in part to normal seasonality and a 5% increase in international markets, offset by a 5% decline in the U.S. Gross profit, which we define as total revenue less total cost of sales, excluding depreciation and amortization expense, was $20.5 million in the third quarter or 42% of revenue. This was in line with our guided range of 40% to 44% for the quarter and compared to $14.8 million or 46% of revenue in the prior year’s third quarter. The prior year’s third quarter benefited from the employee retention credit in the U.S. and was also less impacted by cost increases in our supply chain. For a sequential comparison, our gross profit in the second quarter of 2022 was $8.9 million or 33% of revenue. The increase in gross margin percentage in the third quarter of 2022 as compared to the second quarter of 2022 was due primarily to the benefits resulting from price increases achieved with our customers and also the increase in revenue. Our selling, general and administrative expenses, or SG&A, were $15.4 million in the third quarter of 2022 and were within our guided range of $14.5 million to $15.5 million, despite higher incentive accruals related to an improvement to our expected financial results for the year. Our SG&A expense was $4.4 million higher than the third quarter of last year, primarily due to increased headcount and higher salary expense. Our SG&A in the third quarter of 2021 also benefited from the employee retention credits, which did not recur in 2022. Our reported SG&A expense includes share-based compensation and certain nonrecurring expenses, including litigation costs. In the third quarter, our non-cash share-based compensation expense totaled $0.9 million and our nonrecurring litigation expenses totaled $1.7 million, which was an increase from the prior year, primarily due to a patent infringement trial, which I’ll discuss further in a moment. Our adjusted EBITDA for the third quarter of 2022 was $8.4 million as compared to $4.2 million in the prior year’s third quarter. This year-over-year increase of $4.3 million reflects an incremental margin of 26% on an increase in revenue of $16.5 million for the same period. Our adjusted EBITDA for the trailing 12 months ending September 30, 2022, was $15.2 million, a 10% margin on our trailing 12-month revenue of $152 million. During the third quarter of 2022, our depreciation and amortization expense was $1.1 million, and there was minimal income attributable to our non-controlling interest in Repeat Precision. Turning now to cash flow items and the balance sheet, our cash flow from operations for the third quarter of 2022 was negative $3.8 million and our net capital expenditures for the third quarter were $0.1 million, resulting in free cash flow for the quarter of negative $4 million. The negative free cash flow was primarily related to a seasonal increase in net working capital of $7.3 million during the quarter. Our net capital expenditures have totaled $0.4 million through the first 9 months of 2022, highlighting both the capital-light nature of our business and our continued financial discipline. On September 30, 2022, we had $9.9 million in cash and total debt of $7.8 million for net cash of over $2 million. We also had a borrowing base of $23.8 million on our undrawn ABL. Finally, NCS had net working capital of $56.9 million on September 30, 2022, an increase from $48 million at the end of 2021. We believe that the third quarter of 2022 marks the seasonal trough for our cash balance, with strong collections activity occurring in the beginning of the fourth quarter. By the end of October, our cash balance had already increased from $10 million to approximately $14 million. Turning now to a few points of guidance for the fourth quarter and the full year for 2022, we currently expect fourth quarter total revenue of $42 million to $46 million, an increase as compared to the fourth quarter of 2021, but a decline from our robust third quarter. We expect our U.S. revenue to be between $13 million and $14.5 million. We expect international revenue of $2 million to $3 million. And we expect our Canadian revenue to be between $27 million and $28.5 million, impacted by an expected seasonal slowdown in December due in part to customer budget exhaustion, as well as the weakening of the Canadian dollar relative to the U.S. dollar, which accelerated in late September. We expect our gross margin percentage in the fourth quarter to be between 39% and 43%, reflecting the seasonal reduction in revenue – sequential reduction in revenue, cost pressures and FX impacts. We expect our reported SG&A expense to be between $13.5 million and $14.5 million in the fourth quarter. This includes approximately $0.2 million of non-cash share-based compensation and approximately $0.9 million in litigation. We expect our fourth quarter depreciation and amortization expense to be approximately $1.1 million. As a result, our full year guidance for 2022 is as follows. We currently expect full year revenue of $157 million to $161 million and full year adjusted EBITDA of $15 million to $17 million. As compared to the guidance provided in August, the midpoint of our revenue range has increased by $6.5 million and the midpoint of our adjusted EBITDA range has increased by $1.5 million. We expect our gross capital expenditures for 2022 to be between $1 million and $1.5 million, which is a decrease of over $1 million from our initial expectations for the year. We expect to generate positive free cash flow during the fourth quarter, but continue to expect modestly negative free cash flow for the whole year. Before we open the call up to Q&A, I’d like to make a few additional comments. First, I want to touch briefly on NCS’ long-term strategy. Our leadership team has recently communicated our long-term strategy to employees across the company. We have three core strategies that we will follow over the next 3 to 5 years to drive growth and profitability in our business. The first core strategy is to build upon our leading market positions. One example of this is the success that we are having in Canada in growing our liner hanger business. By leveraging the core strengths and leading market share that we have in fracturing systems in Canada, we are able to deliver additional value to our customers by providing the full suite of equipment that they need for well construction and completions operations. The second core strategy is to capitalize on our growing set of international and offshore opportunities. Examples of how we are advancing this strategy include growing our customer base in the North Sea and expanding the suite of projects – products that we have qualified and available to be used by Saudi Aramco in Saudi Arabia, including tracer diagnostics, our AirLock casing buoyancy systems and the unique composite centralizer product that reduces friction as casing is being run. The third core strategy is to commercialize innovative solutions to complex customer problems. For example, we are working with an international oil company to develop a completion system for deepwater offshore applications. Our solution is expected to enable this customer, and likely others, to enhance the economics of their deepwater wells by accessing additional deeper pay zones. They require an efficient system to hydraulically isolate and fracture multiple zones in highly deviated and in horizontal wellbores. These core strategies are supported by our guiding principles of upholding the NCS promise, which embodies our values and which outlines the commitments we make to our key stakeholders; and to our guiding – our other guiding principle of maximizing financial flexibility, which is supported by our capital-light business model. We are working diligently to implement our strategy and to align our corporate, regional and product line goals for 2023 with our long-term objectives. You’ll hear more about our strategy and our progress in coming quarters. Next, we are pleased that a jury in a recent trial affirmed the validity of our patent utilized in our AirLock casing buoyancy system and concluded that the patent had been infringed upon. This is the second case we have won this year related to our casing buoyancy intellectual property, with total past damages awarded in those cases of approximately $2.4 million and the potential for future royalties with over 10 years remaining on the patent, though the awards remain subject to appeal. We make meaningful investments in research and development and in securing and maintaining our intellectual property, and we will continue to defend our intellectual property if we believe that our competitors may be infringing upon it. I’d also like to touch briefly on industry consolidation. We’ve been consistent in expressing our belief that our industry needs to consolidate. We see significant value in our organic growth strategy and opportunities, but we are very well positioned to drive industry consolidation as well, leveraging our presence in multiple product lines and geographies, our strong balance sheet and the infrastructure that we have in place as a public company. So to conclude, we continue to execute on our strategy and our growth initiatives. Achieving the midpoint of our annual revenue guidance would result in revenue growth of approximately 34% in 2022 as compared to 2021. We have the infrastructure in place to support revenue growth, with leverage to grow future earnings as demonstrated by the 26% year-over-year incremental adjusted EBITDA margin achieved in the third quarter of 2022. Achieving the midpoint of our annual adjusted EBITDA guidance would result in adjusted EBITDA growth of approximately 75% in 2022 as compared to 2021, more than twice the rate of revenue growth, demonstrating the operating leverage in our business. We continue to successfully introduce new technologies that meet the needs of our customers, adding to our product and service portfolio and expanding our addressable market. We are diligently managing through the supply chain challenges that we and others in our industry are facing, and we are benefiting from price increases that we achieved earlier this year. The work is not done, however. We will continue to strive to be compensated for the value that we deliver to our customers. Our team at NCS continues to do a tremendous job operationally with outstanding field execution and an excellent safety record. We maintained a very strong balance sheet and liquidity position, providing us with strategic flexibility. And finally, we believe that we are in a favorable multiyear cycle for our industry, with strong fundamental supply/demand dynamics paired with a measured and disciplined approach to growth. I’m excited by how NCS is positioned to participate in that growth and to deliver benefits to our employees, our customers, our shareholders and our other stakeholders. With that, we would welcome any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from John Daniel with Daniel Energy Partners. John, your line is open.
John Daniel: Good morning, guys. Thank you for having me. Just a couple of questions for you today. First is on supply chain. You touched a little bit on the cost that you’re seeing. But I’m just curious if you can elaborate more on areas where supply chain is impacting you, and just what’s the visibility and timing of improvement?
Ryan Hummer: Hey, good morning, thanks, John. Yes. I mean, obviously, supply chain continues to be a bit of a challenge for us, especially with our sliding sleeves, and for our casing buoyancy products. We’re matching the customers post casing there with the properties. So one of the big inputs for us will be OCTG or tubulars, and that’s one of the areas where we certainly haven’t seen any reduction in pricing, although, as mentioned in the call, we have seen the increases start to moderate. So for us, we do order several months ahead of time, right? We work with our customers to understand their level of activity. So we’re starting to see that level out. But because we order several months in advance, increases over the last several months will continue to hit us as we move through the fourth quarter and into the first. The other places, we are seeing a bit of inflation with other components that go into our products, whether they be elastomers or just consumables. However, we’re doing good work through our supply chain to qualify additional vendors and also to be able to make sure that we have the availability. I’m happy to say that we haven’t missed an order. We saw that increase in activity, especially in Canada, in the third quarter, where we had revenue significantly ahead of what we had anticipated going to the quarter. And we are able to meet every delivery for every customer during that quarter. It was just as a testament to the leadership of our supply chain group.
John Daniel: Okay. That was helpful. Next one I got here for you is just if you could remind me, frankly, on your U.S. customer base. I am curious how further M&A could impact you guys, just good or bad, if larger enterprises acquire smaller enterprises. Very high-level comment would be great.
Ryan Hummer: Yes. John, it’s really a mix. So, in the U.S., we serve our customers, obviously, through our fracturing systems business, but across all product lines, including tracer diagnostics, wellbore construction and the products that we sell through Repeat Precision, so the frac plugs, and the emerging business we have with perforating guns. And I would say our customer mix really reflects the mix of rig count. We have projects with large customers, especially in the tracer diagnostics business. We have opportunities also where we have great relationships with smaller, private E&Ps. So, I wouldn’t say that we are so heavily weighted to privates that if the large public start picking up share or acquiring private, if there was any development in that business. There are patches of areas where there would be a little bit of risk, but areas where there would be opportunity as the customer base evolves.
John Daniel: Got it. Fair enough. Okay. Robert, I hope you have a great time in retirement. Congratulations. And if you get really bored, give us a call at DEP.
Robert Nipper: Thanks, John. I will keep that in mind.
John Daniel: Alright. Guys, take care.
Robert Nipper: Alright. Thanks John.
Operator: Please standby for the next question. [Operator Instructions] At this time, I would now like to turn it back over to Ryan Hummer for closing remarks.
End of Q&A:
Ryan Hummer: Alright. Thank you, Hope. We announced several weeks ago that Mike Morrison will be joining us as CFO. Mike started with us a few weeks ago, and he will take on the CFO role here in a couple of days. Mike has extensive experience joining us from ION Geophysical where he had worked for 20 years, having been the CFO there since early 2020. I am excited to have Mike on board with us introduce him – and to introduce him to our shareholders and to our analysts.
Mike Morrison: Thank you, Ryan. I am pleased to have joined NCS, and I am enjoying my first few weeks, getting to know the people and coming up to speed. I am excited about the opportunity we have here and I am looking forward to getting to know and work with our investors, analysts and other stakeholders.
Ryan Hummer: Thank you, Mike. Now, on behalf of our Board of Directors and all NCS employees past and present, I would like to express our gratitude to Robert Nipper, NCS’ Founder, who is retiring today as CEO. It’s truly amazing to look back at everything that NCS has been able to accomplish over the last 15 years under his visionary leadership. His steadfast direction and commitment to advancing our technology and service capabilities in support of the voice of our customers has seen us through periods of tremendous growth and helped us to navigate the inevitable cycles that our industry faces. In that time, NCS has achieved leadership positions in each of our core products and service lines, successfully outcompeting companies with much greater size and scale as we pushed outside of North America into international and offshore markets. Robert, together with co-founders, Marty Stromquist and Don Getzlaf, established a truly unique company and a phenomenal place to work, with a people-oriented culture that values innovation and continuous improvement and encourages our people to take calculated risks. It is that opportunity and that culture that brought me here. I have had the great pleasure to work with Robert for 8 years ever since I joined NCS, and I can’t see myself anywhere else. In that time, he has been a leader, an adviser and a friend, and I have grown personally under his mentorship. I have learned a tremendous amount from Robert, and will continue to do so as he maintains his position on our Board. Together with everyone at NCS, we congratulate Robert on his well-earned retirement and thank him for making NCS Multistage the extraordinary company that it is today.
Robert Nipper: Well, thank you for the kind words, Ryan. I have to say these last 15-plus years have been something else. I feel so fortunate to have been part of something that most people will never be able to experience. Starting with an idea, finding like-minded folks to engage with along the way and ending up with a world-class completion and well construction company that is a global leader in many of the products and services that were conceived, developed and commercialized internally. For the portfolio that we have developed, we have received more than 100 issued patents in multiple jurisdictions around the world, and we have successfully defended our intellectual property several times over the last years, with no losses to-date and a positive return overall on the investments that we have made defending our intellectual property. But it hasn’t all been rosy. Since beginning this journey, we have had to have five reductions in workforce and then five times we have had to rebuild the company back again. That’s so disruptive. There was a time very early on, when we didn’t know if we were even going to make it. But through hard work and a relentless desire to win, we managed to work our way through those challenges and not lose any equity or cause losses for any of our debt holders. And today, we have a pristine balance sheet. We have been able to accomplish so many things because of the people who believed in and wanted to be part of what we are doing. Many of those original people who were instrumental in us getting to this point have either retired or moved on to other things. People like George Callen, Marty Stromquist, Don Getzlaf, Wade Bitter, Shawn Leggett and Deb Clark [ph]. Some are still here, though, Rob Key, Jeremy Van Matre, Shaun DeLeon, Tim Willems, James Raafs and Darryl Capner. But since those early days, there have been many more people that have joined the company and helped us to get to where we are now. Since that time, we have moved from a single product line company to multiple product lines operating in multiple geographies around the world. And in 2017, NCS Multistage became a publicly traded company. There is no way that we could have accomplished all this that we have were it not for the amazing people that shared our vision and chose to be a part of the story. As you can imagine, I have been asked many times since we announced my upcoming retirement in August of this year, why retire now, and that’s a fair question. So, why now, well, there is two reasons. The first reason is, in my view, selfish. I am ready to retire. It’s been a long 15-plus years. I sacrificed a lot of time with my family to help build this company. I retired in 2015 for about eight months before I agreed to come back and helped lead the company through an IPO process. I planned for that to be a 2-year to 3-year period of time. Unfortunately, when I was ready to leave again in 2020, we know what happened then. And I didn’t think it was fair for me to leave during such a disruptive and uncertain period of time. I want to spend more time with my kids and grandkids catching up. I feel so fortunate that I can do that now. The second reason and this is a non-selfish reason, I believe. As you all have heard me say many times over the last year that I believe we are entering into a multiyear recovery for our industry. I also believe that our industry should be less cyclical than the past due to what appears to be a more conservative view on growth by our customers, which hopefully will help moderate the cycles going forward. With a view of a multiyear recovery going forward, I think this is the perfect time for a new CEO and a new CFO to take over. Hopefully, they can get their legs under them before they must deal with any significant downturns. However, if that isn’t the case, I am very confident that our team, with the new leadership, can deal with whatever they are faced with. Finally, I want to congratulate Ryan on his appointment as CEO effective today. Ryan came to work for the company in 2014. And I have worked very closely with him since that time. Since then, Ryan and I have become close not only professionally, but also personally. After working with Ryan for just the first year, I knew that he would be a very strong candidate to replace me one day, and I worked hard to try to make sure that, that would happen. One quick story about Ryan. When I was approached in 2016 to come out of retirement and lead the IPO effort, I was very hesitant to do that, but asked the Board and our investors for a couple of days to think about it. Ryan was our VP of Corporate Development at the time. I went to see Ryan the next morning after I received that phone call and told him what was going on. And told him if we did this, I wanted him to be our CFO going forward. He was very hesitant as well, but agreed to think about it. I told him I couldn’t see us going forward as a public company without him in that role. The next morning, Ryan agreed. While he was still hesitant, he was all in and has done a fantastic job as CFO, and I know he will do equally as well as CEO going forward. It’s with mixed feelings that I will leave the building today for last time as CEO, but it is time for me. And I know that Ryan – it’s Ryan’s time to lead now as well. I want to thank our investors, analysts, vendors and customers for their support and friendship over the years. But most of all, I want to thank our previous and current employees for being part of something special. None of this would have been possible if it weren’t for our amazing people. I am not sure I know how not to be the CEO for NCS going forward, but I think I will figure it out. I am looking forward to supporting Ryan and the entire NCS team from my position as a Board Member going forward, and I am excited to watch the team move forward executing the strategic plan. Thanks again. And I will turn it back over to Ryan.
Ryan Hummer: Well, thank you, Robert. Very appropriate words. That will conclude today’s call. We appreciate everyone’s interest in NCS Multistage. And I look forward to speaking with you all again on our next quarterly earnings call. Thank you.
Operator: Thank you for your participation in today’s conference. This does conclude the program. You may now disconnect.